Operator: Thank you for standing by. This is the conference operator. Welcome to the Ero Copper First Quarter 2022 Financial and Operating Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Noel Dunn, Executive Chairman of Ero Copper for the opening remarks. Please go ahead.
Noel Dunn: Thank you, and good morning, everyone. The news release announcing Ero's first quarter 2022 operating and financial results is available on our website, as are our financial statements and MD&A for the three months ended March 31, 2022. We will be making forward-looking statements on this call that involve risks and uncertainties considering the businesses, operations and financial performance of the Company. We refer you to our most recent AIF available on our website, SEDAR and EDGAR, for a discussion of the risk factors of our business and their potential impact on future performance. As per usual, unless otherwise noted, all amounts are in U.S. dollars. Joining me on the call today are David Strang, Ero's Co-Founder and Chief Executive Officer; Makko DeFilippo, President; Wayne Drier, Chief Financial Officer; and Courtney Lynn, Vice President, Corporate Development and Investor Relations. I would like to start off today by talking about the important milestones our team achieved during the first quarter and how the advancement of our growth strategy is progressing. We kicked off the year by announcing plans to increase our annual copper production to approximately 100,000 tonnes over the next few years, and achieve sustained annual gold production levels of approximately 60,000 ounces. In early February, we successfully issued $400 million in senior unsecured notes with an eight-year maturity and a 6.5% coupon. While we had worked on this transaction for months with the goal of ensuring a fortuitous balance sheet, our timing with hindsight was pretty good. Following the completion of key technical milestones in mid-February, our board formally approved the construction of the Boa Esperança project. Our project teams have been busy on site, completing our early works program, undertaking detailed engineering and entering into critical path contracts. I'm happy to report that just last week, we achieved another milestone when we kicked off site clearing. In parallel, we continue to advance our Pilar 3.0 growth initiative at the MCSA Mining Complex during the quarter. Key activities included securing several long lead items critical to our mill expansion and continued construction of the new external shaft. Additionally, just after the end of the quarter, the second and final phase of our cooling project was completed and handed over to the operations on time and on budget. Whilst the macroeconomic picture has been clouded recently by geopolitical issues, the direction of decarbonization initiatives globally remains clear. We continue to expect this will lead to unprecedented demand for copper in the years ahead, at a time when the prospects for delivering new copper development projects not already well advanced but appears increasingly challenging. These factors position Ero well relative to the broader industry given our fully funded low carbon-intensive and well-advanced nature of our growth plans. I will now pass the call over to David to provide an overview of our operational performance, and then on to Wayne, who will cover our first quarter financial performance. As always, we will be available for questions immediately following the call.
David Strang: Thank you, Noel. Our first quarter results were released after yesterday's market close and reflects strong margins and operating cash flows despite the backdrop of a challenging macro environment during the period. A key additional challenge during the quarter was a temporary but significant increase in absenteeism across our operations due to the impact of the Omicron COVID variant coinciding with the seasonal flu outbreak. As a result, we produced approximately 9,700 tonnes of copper at the MCSA Mining Complex and 8,800 ounces of gold at the NX Gold Mine. Following a return to normal staffing levels in March, I'm very pleased to report that our second quarter is off to a very strong start at the MCSA Mining Complex, which achieved a record month of copper production in April. Copper production during the second quarter is also expected to benefit from mining in the upper levels of the Pilar Mine, including the first stope from our Project Honeypot initiative. This engineering initiative, which commenced last year, continues to demonstrate high potential to adding meaningful near- and long-term value to our MCSA copper production plan. Our engineering teams in partnership with our exploration operations group are focused on identifying and recovering high-grade zones left behind by the previous operators decades ago due to the undercapitalized nature of operations at that time. With the inclusion of this first Project Honeypot stope, as well as incremental challange -- changes in our mine sequence through the rest of the year, we are now guiding to the high end of our full year copper production range of 43,000 to 46,000 tonnes of copper, and we expect production to be roughly equally weighted between the first and second halves of the year. At our NX Gold Mine, we are expecting a similar cadence to quarterly production with higher gold production anticipated through balance of the year due to planned mine sequencing as we gain access to high-grade development levels of the Santo Antônio vein. As such, we are reaffirming our 2022 gold production guidance of 39,000 to 42,000 ounces of gold. First quarter C1 cash costs at MCSA Mining Complex of $1.31 per pound of copper produced and C1 cash costs and all-in sustaining costs at the NX Gold Mine of $638 and $1,092 per ounce, respectively, were influenced by recent strengthening of the Brazilian reais against the U.S. dollar as well as the influence of inflationary pressures being experienced across all industries. While we expect unit cost performance at our operations to benefit from higher production levels through balance of the year, given the impact of inflation and exchange rate volatility during the first quarter, we are currently taking a cautious approach and guiding to the high end of our 2022 operating cost guidance ranges. As for our key projects, I am pleased with the progress during the quarter. Our MCSA, our Pilar 3.0 initiative remains on schedule and on budget with site works and surface installations for the new external shaft progressing well. During Q1, activities included excavation for the head frame and winder foundations as well as the purchase of a long lead and critical part winder. With respect to our mill expansion, we concluded the purchase of a third ball mill and ancillary equipment to ensure on-time and on-budget commissioning of our processing facility expansion, which will take our capacity from 3 million to 4.2 million tonnes per year commencing the second half of next year. At our Boa Esperança project, we successfully completed the $10 million early works package for the project on time and on budget, subsequent to the end of the period. This package, which commenced last year, included preconstruction drill programs and year-round access road upgrades. Construction of new on-site access roads began during the first quarter, and as Noel mentioned, site clearing commenced last week. Development and excavation of the mine and process facilities will be structured through a series of work packages that are either currently out to tender or under negotiation. And I am pleased to say that the terms of these contracts continue to align with our project budget. As we continue to build momentum on these projects and work packages for Boa, we expect capital investment programs to ramp up over the course of the year and be weighted to the second half of 2022. Before I turn the call over to Wayne, I'd like to mention that we launched a company-wide rebranding initiative during the first quarter in an effort to bring greater cultural and identity alignment throughout our company and operations. We expect to roll out our new corporate website during the second quarter. And on future earnings calls, we will be referring to our MCSA Mining Complex as EroCaraiba or the Caraiba operations; our NX Gold Mine will be known as EroJaventina or the Javentina operations; and our Boa Esperança project be referred to as EroToucama or our Toucama operations. With that, I will now turn the call over to Wayne to review our first quarter financial results.
Wayne Drier: Thank you, David, and good morning, everyone. As David noted, our first quarter results reflect a continuation of strong margins and operating cash flows that contributed to record quarter end available liquidity of $540.5 million. This has included approximately $365 million in cash and cash equivalents, $100 million in short-term investments and $75 million in undrawn availability under our senior secured credit facility. This quarter-on-quarter increase in available liquidity of over $310 million reflects $392 million of net proceeds from our recent bond issuance during the quarter, the repayment of $50 million in outstanding borrowings under our senior secured credit facility and a reduction in the size of this facility from $150 million to $75 million. Revenues for the quarter were $108.9 million, representing a decrease of $26 million or approximately 19% compared to the fourth quarter of 2021. The decrease in revenues was primarily driven by the lower copper production and concentrate sales at MCSA as well as an increase in finished goods inventory at the NX Gold Mine. As David mentioned, unit operating costs at both MCSA and NX Gold during the quarter were adversely impacted by the strengthening of the Brazilian real as well as inflationary headwinds that have impacted all industries. However, I think it's also important to note that copper and gold prices both hit record highs in the quarter. And as a result, we generated strong operating cash flows of approximately $44 million in the first quarter. With respect to our foreign exchange derivative contracts, we reported realized losses during the first quarter of $4.6 million and an unrealized gain of nearly $25 million due to the strengthening of the real. The real strengthened from approximately 5.65 to -- per U.S. dollar at the beginning of the year to approximately 4.75 per U.S. dollar by the end of the first quarter. We have and expect to continue to opportunistically add collars to lock in BRL floors at these levels to protect operating margins while retaining significant upside should the BRL weaken substantially against the U.S. dollar in the future. With that, I'll hand the call back to Noel to share some final comments.
Noel Dunn: Thank you, Wayne, and everyone who joined the call today. Before we open up the call for Q&A, I would like to recognize and thank our colleagues in Brazil for the significant progress made in our growth strategy during the first quarter. We have several really good quarters ahead of us, and I'm looking forward to sharing more details around the progress of our key projects next quarter. I will now turn the call back to the operator, and we will open up the line for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Stefan Ioannou of Cormark Securities.
Stefan Ioannou: Just curious on the Honeypot stuff as it's progressing further. I'm just curious on the sort of the cadence of Honeypot going forward. I know you're getting into the first one this quarter. Do you get -- do you anticipate you're going to kind of be doing one at a time? Or at some point, will you have multiple ones going at the same time? And what's maybe the time frame to get there?
David Strang: Thanks, Stefan. Great question. Honeypot and the opportunities with regards to Honeypot come as quite a tidal wave over the course of the last six months in terms of the opportunities that the guys and the team have uncovered. So with respect to that, in the near term, it's difficult for us to give you any strong direction now with respect to how Honeypot plays out. We're working on that over the course of the next six months. And I think by the end of the year, we'll have a much better understanding as well as be able to provide the marketplace with a more fruitful view with regards to how Honeypot, what we call Honeypot 1 and Honeypot 2, will play into our future production. I think there may be opportunities to include some of it over the course of the next couple of years. But I think the full impact with respect to Honeypot will be realized closer to the time that we are coming closer to mining the deepening, and that will allow us to look at some additional expansions to operations within the Pilar mine and other initiatives that we're doing. I know it's a bit smoke and mirrors with regards to what I'm seeing right now. What I can tell you is leave it with us, give us the next six months to really work it through, get it into our mine plan and we anticipate putting out a new technical report towards the end of the year. So obviously, if we're looking at doing a technical report, that means it's going to be a material change. And so leave it with us at the moment, and we'll get back to you and give greater guidance later in the year.
Operator: Our next question comes from Craig Hutchison of TD Securities.
Craig Hutchison: David, you mentioned at the outset of your comments that you've got a series of work contracts out for tender at Boa and that you were -- I think you said you're pleased with how the costs are kind of coming in line with expectations. Can you give us any sense in terms of what percentage of overall budget you've put out to tender at this point?
David Strang: The vast majority has gone out to tender. I think we're at 60% to 70% of the -- our project and of the deepening project are out -- either have been agreed or out to tender right now.
Craig Hutchison: And so I guess just to go back to your comments earlier, you're happy with what you're seeing so far in terms of your overall guidance?
David Strang: Yes. Yes. Like anybody else in the industry right now, we're cautiously optimistic with regards to what we're seeing in terms of the initial -- or either the contracts that we've signed, which we're obviously very happy with, with regards to the ones that out to tender or the ones that we have visibility in terms of discussion. And as I said, that's 60% to 70% of everything. We're reasonably happy with regards to where it is. It's within what we would term our capital budget and contingency right now.
Craig Hutchison: Will that 60% to 70% include like Pilar 3.0, whole thing, the upgrades to the mill as well? Is it more just a deepening in the shaft component?
David Strang: Well, as we meant, as we stated, the Pilar 3.0 is the expansion. The major lead items in terms of the expansion of the mill, which is the mill and the Jefferson cell and some of the other ancillary products, that's all being priced. Those contracts are already out. So those are signed and sealed and delivered. So don't think about it from the expansion. With regards to Pilar 3.0, that primarily right now is the shaft, and we're very, very far advanced. As you know, we mentioned we've already purchased our winder, which is a key component of that and that was well within budget. MC and the team have been well advanced with regards to negotiations, with regards to the short sinking with EMS. And she's just come back after a visit with them in South Africa. She's happy with regards to the progress there with regards to those contracts and they are within our guidance with regards to the capital of that. With regards to Boa, we are waiting and currently waiting for the major contract on Boa with respect to the mill. That is imminent. We're getting there in the next week. So far, where Anthea and the team have seen, they're comfortable with, with regards to that and what they've seen. But obviously, when you're in these things, you're obviously negotiating on an ongoing basis, but we don't see anything within any of the RFPs or any of the RFQs that would give us concern with respect to our capital blowup. We see nothing like that with regards to our project -- or projects.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Noel Dunn: Thank you all for being on the call today. Thank you for the questions, and we look forward to speaking to you again in the next quarter. Thank you and goodbye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.